Operator: Good morning. My name is Constantine, and I will be your conference operator for today. At this time, I would like to welcome everyone to the NexGen Energy Year-End and Fourth Quarter 2024 Financial Results Conference Call. [Operator Instructions] Mr. Leigh Curyer, CEO and Director for NexGen Energy, you may begin your conference.
Leigh Curyer: Thank you, Constantine. Thank you all for joining us today for NexGen's Year-End and Q4 2024 Financial Results Conference Call. I'm Leigh Curyer, Founder and Chief Executive Officer of NexGen Energy, and I'm joined today by Travis McPherson, Chief Commercial Officer; and Benjamin Salter, Chief Financial Officer. Over the course of this call, I will provide NexGen's insights into the global uranium markets and also highlight the significant progress and recent key accomplishments at NexGen, including the completion of the final Federal technical review for Rook I and CNSC's acceptance of our Federal Environmental Impact Statement as final, as well as our first uranium sales contract with leading U.S. utilities and the commencement of the largest exploration program in the Athabasca Basin focused on our new 2024 discovery at Patterson Corridor East, PCE. At the conclusion of the presentation, we will move to the Q&A portion of the call, which will provide you the opportunity to ask any questions. We will make forward-looking statements throughout today's call, and I invite you to visit our website for all the relevant disclosures. Before we begin, it's worth noting the exceptional scarcity of successful greenfield projects in our industry. Only 1% of exploration projects progress past the permitting stage. We are nearing that stage. And a mere 0.01% ultimately become profitable mines. Our steady advancements and multiple milestones emphasize that NexGen is firmly on the path to joining that elite category. The barriers to entry are high. And considering the necessity of new supply for the uranium market to fuel strongly the growing nuclear demand, our Patterson Corridor East project is that much more important than it was yesterday, as are all the current uranium developers. The uranium market remains dynamic, shaped by growing new demand for nuclear energy on top of robust existing global nuclear fleets with geopolitical uncertainties and supply chain constraints, all underscoring the critical importance of security of uranium supply. Legislative actions have amplified concerns over supply and emphasize the need for stable Western-based uranium sources to diversify what has become a highly concentrated uranium industry. Short-term market fluctuations based on market liquidity constraints have not changed the fundamental market reality. There simply isn't enough supply to meet demand, and that is forecast to persist well past the 2040s. The only solution is a substantially higher and sustained price to incentivize greater investment in uranium exploration and mining, leading to new discoveries and project development. Without materially higher sustained prices, the deficits will only grow wider. To put the demand for uranium, particularly Western supply into perspective, let's focus on the U.S. market for a moment. The U.S. consumes nearly 50 million pounds of uranium annually but produces less than 1 million pounds domestically. Canada currently accounts for 25% of its supply, with the rest of primary supply coming from Kazakhstan, Russia and Uzbekistan. This available supply is also shrinking. Russia will be legislatively banned from the U.S. market in totality by 2027. And the majority of Kazatomprom's future production is already committed to the East. Kazakhstan and Uzbekistan's uranium is increasingly being diverted to China and Russia. The West is unleashing unprecedented support for nuclear, yet is falling behind on securing the uranium supply it critically needs. All other components of the nuclear fuel cycle are at or near all-time highs, yet the necessary input for the whole cycle, uranium, has yet to perform the same way. But attention towards new sources of primary mine supply has commenced, evidenced by our initial U.S. utility contracts being executed in December of last year. 2024 was a transformative year for NexGen, marked by significant milestones. We secured our first utility contracts, which are entirely in line with our strategy of maximizing the exposure to future uranium prices and optimizing the return on every pound produced. This has coincided with completing the Federal technical review and finalization of our Federal EIS, materially advanced the project execution, surpassed regional procurement and training objectives, all while advancing the Athabasca Basin's largest targeted exploration drill program that yielded a brand-new material discovery named PCE, just 3.5 kilometers from our Metis Arrow deposit. Our progress has been driven by an incredibly dedicated team and our steadfast mission to establish NexGen as a world leader in clean energy fuel solutions. As we continue advancing our disciplined development of our 100% owned Rook I project, we are now nearing completion of the most material phase, permitting. The site, our team and our balance sheet are ready to commence construction immediately following conclusion of the Commission hearing, which we, the Province of Saskatchewan and our indigenous community partners are all eagerly awaiting. With the full support via fully-executed and legally-binding benefit agreements and strong advocacy from all 4 indigenous communities in our project area, Clearwater River Dene Nation, Metis Nation-Saskatchewan Northern Region II, Birch Narrows Dene Nation, Buffalo River Dene Nation, the project is optimally positioned for completion of the final approval process. NexGen has made significant advancements in construction readiness. Procurement of critical items is well advanced. Vendors are secured for key critical path activities. And the team, which has been strategically compiled for optimal performance, is in place and ready to execute. This disciplined planning and execution to date positions us to mobilize on day 1 of approval once final permits are secured, with existing cash on hand supporting a minimum of 18 months of post-approval construction activity. In parallel, we continue to attract top-tier talent and expand our local training programs to ensure industry-leading percentages of the on-site labor and commerce is domiciled directly from nearby local communities. Our focus on sustainable development remains at the core of our operations, while delivering lasting value to our shareholders, partners and the communities in which we operate. Additionally, our updated capital estimate reaffirmed Rook I's industry-leading economics, featuring rapid payback of approximately 12 months based on UXC's long-term price and an exceptionally low operating cost of under USD 10 a pound at USD 9.98. These low operating costs, combined with the ideal geological setting, provide NexGen with significant production flexibility and strategic leverage on contracting, enabling us to maximize the value of every pound produced. NexGen's strategic uranium inventory, which was purchased in early 2024, has played a key role in our contracting position, enabling us to secure customers aligned with us in terms of future market dynamics and ensuring we maintain maximum exposure to future uranium prices. As evidenced in December, this proactive approach led to the award of our first uranium sales agreements with multiple leading U.S. utilities, securing 5 million pounds of deliveries over the first 5 years. Building on these first few contracts, interest from global utilities continues to increase for NexGen to bring a new material source of uranium supply to the market and in order to assist nuclear operators diversify their current supply concentration. Discussions are advancing across the U.S., Europe, Asia and the Middle East. As market fundamentals tighten, we anticipate further contract signings in the near term as utilities move to secure long-term supply and NexGen prepares for production. NexGen remains well positioned to capitalize on this growing demand, and while maintaining a disciplined approach to our contracting strategy, ensuring we optimize value of every pound committed and produced. So, as we navigate this evolving landscape, NexGen remains focused on delivering long-term value, leveraging our strategic position in a market with unprecedented and undeniable growth potential, combined with our structural supply -- with the structural supply constraints. Sustainability is a cornerstone of NexGen's culture and business practices. In 2024, local indigenous communities continued their vocal support for the immediate approval of the Rook I project, given their deep participation and understanding of the environmental assessment process, as well as the trust, which is clearly evident between NexGen and the communities. Our benefit agreements continue to deliver tangible community programs, workforce training and economic partnerships, reinforcing our long-term commitment to responsible resource development. Programs such as our Pathways to Your Future for careers in mining at the Rook I project, coupled with our unique sports partnerships that deliver impactful mentorship for youth through leadership development are creating long-lasting growth opportunities for the next generation of leaders across our region. We are also proud to announce that in line with NexGen's commitment to support and advance local indigenous communities and businesses, 96% of the procurement for the Rook I site was made through our community partners during 2024. That is industry leading, the #1 position in the industry, and reflects the genuine nature of our commitment to local communities, which will expand exponentially once the project clears the commission hearing process. Beyond Rook I, our 2024 exploration program was NexGen's most successful since the discovery of Arrow in 2024, a major uranium discovery at Patterson Corridor East, just 3.5 kilometers from Arrow. It has all the same characteristics of Arrow. And in terms of size and the existence of the ultra-high-grade mineralization, it exceeds that of Arrow at the same stage of drilling. The discovery at PCE represents a transformational development, unlocking new resource potential and refining the truly district scale of NexGen's lands position. We just commenced our 2025 -- sorry, our 2025 exploration program, one of the largest and boldest drill programs in the Athabasca Basin with a 43,000-meter drill program, focused on 2 key objectives: define the scale of mineralization at PCE and unlock the full potential of this high-grade system. Financially, NexGen maintains a strong position with approximately CAD 477 million in cash at year-end, which covers the construction spend for the first 18 months of the post-approval activities. Further, the expressions of interest from lenders has increased to approximately USD 1.7 billion, which is more capacity than is required and highlights just the incredible financeable nature of this world-class project. We continue to advance discussions across multiple financing streams, rigorously evaluating options amid strong interest from around the world and from various industries. We will continue to advance all financing alternatives throughout the remainder of this year, leveraging our ability to optimize the capital stack with patience, given our strong balance sheet. As we look ahead to 2025, we do so with tremendous confidence, momentum and focus on our strategic objectives. Our focus is on securing full federal approvals, including the upcoming Commission hearing, and while doing so, advancing engineering, procurement and training to further enhance the execution phase. NexGen is incredibly proud to be at the forefront of one of the most significant times in the global energy markets, where a confluence of factors, including energy security, the energy transition and geopolitics continue to play favorably into our zone. As demand for clean, reliable and secure energy intensifies, we are ready to meet this challenge head on. We have the right strategy in place with a highly talented and dedicated team, supported by values and a commitment to all stakeholders. Thank you, and I look forward to updating you on our progress through what promises to be a transformative year. I'd now like to open the floor for questions.
Operator: [Operator Instructions] Your first question comes from the line of Katie Lachapelle from Canaccord Genuity.
Katie Lachapelle: Congrats on the recent acceptance of the final EIS. One of your peers recently announced notice of its Commission hearing date. How has that announcement informed your thinking around the time line for the hearing date? And then, maybe as a follow-up to that as well, are you still expecting it to be a 1-part hearing? Or is it a -- or is a 2-part hearing a possibility? And then, does that decision ultimately lie with you? Or is it with the CNSC?
Leigh Curyer: Sure. Thanks, Katie. Yes, look, it's great news. Denison has received their Commission hearing date. I think everyone can take note of that, and obviously is positive for when we expect to hear ours, the scheduling of that. We have been informed by the CNSC that it will be only a 1 part, and we are eagerly awaiting the announcement of that date. So clearly, the CNSC only has so much resources. And so, we're working with them to schedule that commission hearing date as early as possible. And the advocacy from all 4 local communities to the CNSC to ensure that, that happens as immediately as possible is extremely strong. So, that is what we know, Katie, as we speak. And we have got everything filed and ready and ready to do that Commission hearing, even if it was scheduled for tomorrow. And then, on the subsequent conclusion of that Commission hearing process and approval, we'll literally be starting construction the following week. So yes, we are very much looking forward to the Commission responding and setting a date.
Katie Lachapelle: Awesome. And then, maybe an unrelated follow-up. You emphasized the Patterson Corridor East discovery a lot in your opening remarks, and I think the market continues to undervalue that. When are you expecting to release more results from the program at PCE? And then, perhaps any thoughts around the timing of potentially a maiden resource there?
Leigh Curyer: Yes. So our approach is to release results in batches along the way in order to always give some context. Now, the only thing that would change that philosophy is if we hit a hole which changes the entire direction of PCE. And that was the experience at Arrow. We defined mineralization. We tagged into some high-grade veinlets. And then, it was hole 30 which completely unlocked the size, potential and scope of Arrow. We are drilling those holes in terms of defining the extent of mineralization, but also looking to unlock PCE. And that could be the next hole. It could be in 100 holes. We don't know. So our focus on that and given materiality assessment is that we will release those results in batches of drilling in order to always provide context. But unless -- yes, as I said, if a barn burner occurs, we would announce that as soon as possible.
Operator: Your next question comes from the line of Regan Burrows from Bell Potter.
Regan Burrows: Just a follow-up on Katie's question before on PCE assay results. Has there been sort of a delay in getting those results back? Or I guess, sort of further elaborating on what you said there, are we sort of to interpret that the strategy has shifted because of something within those results?
Leigh Curyer: No. Look, we've already put out the scintillometer results from the 2024 program. And at this stage, the assays are less material. It's about discovering the extent of mineralization and looking for the high-grade hearts within that area of mineralization. Once we get into project delineation, where we're working towards establishing a resource, the assays then become very, very material. But it's just simply batching the results, [ sending them ] to the lab and getting them back. And those assays from 2024 will be released in the near future, and most likely along with the first phase of 2025 scintillometer results from PCE. So, no one -- yes, no need to look into the length of that. Yes, the lab does get backed up. But the priorities and that core in -- was just in the normal course. And those assays will be coming. But as I said, at this stage, focusing on the scintillometer results and the extent of mineralization, looking for those high-grade hearts is the focus.
Regan Burrows: And just sort of elaborating on that a bit further for the '25 program, are most of these holes just stepping out from the initial holes? Is that the way you're sort of approaching that? I What kind of spacing are you looking to do on a hole-by-hole basis?
Leigh Curyer: Yes, that's an excellent question. And as we did with Arrow, we basically use a grid based on 50-meter spacing when we're trying to define the area of mineralization, and that's what we're doing. So it's not drill holes, stepping out side by side from one another 20 meters, and so effectively doing it on a 50-meter grid. And then, if we tag into a high-grade heart, well, it would require some more concentrated drilling at that time. But when you consider you can miss these deposits by as little as a meter or less, and we're doing it on a 50-meter grid, and we're hitting mineralization at the rate that we are in those holes at PCE, it tells you that we are onto something incredibly significant. And I've always said it, Arrow was discovered on the very first drill hole within a 4.5-kilometer radius of the initial hole, which discovered mineralization. Now, that is an unprecedented success with respect to exploration and when you consider just how confined these deposits are. For us to be doing a wide grid and hitting mineralization like we are, this PCE justifies the largest drilling program in the Athabasca this year. And so, the geology team and all of us are incredibly excited. And to think that we may be onto a mineralization of the caliber of Arrow, it's an absolute game changer as we are progressing through the final stages of permitting and are about to start construction on Arrow to have another one bubbling away here in parallel, like unprecedented with respect to what that will mean for the company.
Operator: Your next question is from the line of Craig Hutchison from TD Cowen.
Craig Hutchison: One of your objectives this year is to do [ optic ] negotiations. Just curious, what type of volumes you're looking to contract ahead of a potential approval next year?
Travis McPherson: Yes. Thanks, Craig. It's Travis here. We don't have -- I wouldn't say we have a set volume that we're targeting in any given year, frankly. We're in the stage of building relationships and remaining patient with our strategy and making sure that we, at the end of the day, maximize the value of every pound we produce. So that's the stage we're in. We are -- there's significant demand for our product, as evidenced by the premium pricing we indicated in December. That makes sense, given the premium and scarce nature of our product. So those discussions are ongoing and will continue throughout the year. I would expect to see some more contracts get announced this year for sure. But we're definitely not targeting X number of pounds in 2025 and X number of pounds in 2026. We will see how the market develops, how the negotiations go and remain patient, while we continue to build relationships along the way.
Craig Hutchison: Has the tariffs in the U.S. had any impact on your discussions with utilities?
Travis McPherson: Yes, we get that question a lot, and the short direct answer is, no, we don't get -- it's not even a topic, frankly, of any discussions really. Uranium is very long term and global in nature. And so, these types of things or these types of considerations anyways are pretty normal in these discussions within various jurisdictions. And we also have in our contracts that the tariffs are borne and worn by the purchaser of the uranium.
Leigh Curyer: I'd just add on -- sorry, Craig, I'd just add like a lot of people are looking to get a gauge on the uranium price and where it's heading. There is substantial activity on the offtake arrangements in the background. And look, I've been in this sector since 2002. There's been periods where the spot market is illiquid, which we're at, at the moment, but also periods where it becomes highly liquid when utilities don't secure enough of the pounds through the offtaking process. And that's happened throughout the history of this uranium market. I've never personally seen the demand so high for a new source of mine supply. And that will materialize. But there will be a point where the utilities need to try and extract the pounds wherever they can. And we saw that before in the 2000s where the price of uranium went from $7 a pound to $136 very, very quickly. That illiquid spot market became highly liquid in an instant when that threshold broke. And I think the situation today is even more tightly wound than what it was back in those early 2000s.
Travis McPherson: Okay. Great. Just maybe one last question for me. Just in terms of budgets, can you give us a sense of what you plan to spend on exploration this year? And then, what you plan to spend on Arrow, obviously, excluding a potential final investment decision this year as well?
Leigh Curyer: Well, with respect to the exploration program, 43,000 meters, it's CAD 15 million. With respect, if we had final approval from the Commission hearing, the first 12 months is $209 million with respect to the capital spend on the project. Like we know, the cost -- we know the cost down to the screwdrivers and the shovels that will be used.
Operator: Your next question comes from the line of [ Ben Finegold ].
Unknown Analyst: Congrats again on the recent [indiscernible] development. So 2 questions from me. First, you mentioned the domestic deficit in the U.S. in particular and the fact that these initial contracts have been with U.S. utilities. So I was wondering how these contracts have changed at all since the new administration? And do you get the feeling from U.S. utilities that despite tariffs that Canadian uranium is kind of put in the same bucket as domestic pounds? The second question is around pricing. The recent [indiscernible] spoke about floors at $70 a pound. Is this, I guess, the same to you guys in your conversations at the moment?
Travis McPherson: Yes. Thanks for the question, Ben. With respect to the U.S. demand changing or anything, no. I think the biggest changes have come in previous years, frankly, when it became obvious that the supply risk to them, not out of Canada, but out of the Eastern countries, was becoming a big problem. The reality is, the U.S. utilities don't have a lot of alternatives. And particularly, when you look ahead to when we're going to be in production or could be in production at the latter part of this decade and into the 2030s and beyond, it's acute. And so, that deficit that Leigh mentioned can't be solved domestically in any material capacity at all. And so, there is an understanding that they have to rely on Canada, frankly. And I think, again, no impact in the discussions whatsoever. And we'll see what happens with tariffs and everything else, but the reality remains the same, which is that we're the northern neighbor and have supplied material uranium into that market for a very long time reliably. And with Arrow coming online, frankly, it's a huge help to reducing reliance on other jurisdictions.
Leigh Curyer: And with respect to our -- the pricing that we're receiving in our contracts, well, it's industry-leading, and it's substantially industry-leading in terms of leverage to the future price of uranium. So we are purely reflecting the mine's flexibility and very, very low cost to having maximum exposure to the return on every pound produced. And utilities are recognizing that. And the outlook is absolutely terrific for NexGen on that front, and we'll continue to keep that industry-leading exposure to the future price of uranium.
Operator: Your next question comes from the line of Graham Tanaka from Tanaka Capital Management.
Graham Yoshio Tanaka: Can you hear me?
Leigh Curyer: Loud and clear, Graham.
Graham Yoshio Tanaka: Okay. I just was wondering to what extent the announcements on Denison and their approval process might delay the NexGen process? Or could your approval process and review process be started in parallel? Just wondering about timing.
Leigh Curyer: Yes. [indiscernible] Graham, and good to speak with you. For everyone's knowledge, Graham has been a shareholder from just post listing back in 2013. Graham, I think the announcement of Denison's Commission hearing is more positive for NexGen. And again, congratulations to David and the team at Denison for meeting that milestone. Look, I can only convey what has been communicated to us from the CNSC that our file is a top priority. And I'm also aware there's been communications to the local communities that the setting of that date is imminent. Now, I'm aware the local communities have all requested the Commission hearing to be very early in 2025. Clearly, the CNSC has their own resourcing aspects, and we're respectful of that. So in summary, I would take the announcement of Denison's Commission hearing as an absolute positive that ours is imminent as well. When that is actually scheduled for which date, I don't know. We are waiting from the CNSC because I have no control over their resourcing.
Graham Yoshio Tanaka: Right. Okay. And just to review again, I know you've been accelerating your procurement process. If you were to hear, for example, your hearing date is, say, I don't know, if you can pick a month, that might be the earliest, how many months and years would it take to stage important milestones in the construction [ process ]?
Leigh Curyer: Yes. And another excellent question. And look, I want -- even if the Commission hearing was to be in the latter part of this year, if you want to take Denison as an analog, it's not -- it actually won't materially affect the time line initially. There's a lot we're doing with respect to project execution that can occur in parallel to that Commission hearing. And so, we would like this Commission hearing to be as soon as it can be, but there's a lot of work that can still be ran in parallel and not materially affect the overall time line through to production. But in a very simple sense, on approval, it will be 42 months through to construction. And as we have been with everything, we'll be super transparent with those construction milestones and the tracking of progress against those milestones, milestones being both in terms of the construction of various items, the cost and the time in which to execute. But overall, 42 months from the moment the shovels hit the ground, which, as I said earlier, would be literally the following week of receiving the conclusion of the Commission hearing process.
Graham Yoshio Tanaka: Okay. Great. And on the staging of Patterson Corridor East, if it is -- if it does turn out to be a major discovery and if we sort of look at the macro side and assume, on the one hand, a very, very strong demand environment emerging in the next few years, how quickly could you bring on Patterson Corridor East? And would you overlay that any production onto the later years of production at Arrow? Or would you do it sequentially?
Leigh Curyer: Well, that -- I think the possibility, once up and running at Arrow, et cetera, and look, I'll say now every evidence suggests that it's the same mineralizing event as though something has burst in the region and mineralization falling out in multiple areas. I think there's enough evidence today to be very, very clear on that fact. Same mineralizing event, same mineralization, same metallurgy in a similar setting. It wouldn't be like you're permitting like from brand-new. There would obviously be a lot of aspects that could be applied from the permitting of Arrow to this new discovery, but obviously subject to the regulatory process. And from an economic operational sense, yes, there's opportunities to double production. Arrow's 30 million pounds per annum won't even meet the number of pounds that are coming offline from mine supply between now and 2030. So -- and then, that's on the back of a demand and supply gap of approximately 80 million pounds already occurring every year. The world needs more than 1 Arrow. It needs 2 to 3 Arrows and preferably up and running by 2030. That is not going to happen. But with PCE, in the event that it was to be Arrow-like or perhaps even better, it's good to know that we'll have that optionality in that event. So everything is possible, Graham. The great news is that we have those levers to pull in the scenario that warrants it.
Graham Yoshio Tanaka: So just to clarify, if demand indeed does significantly exceed net new production in 2030 and beyond, you could accelerate production at Patterson Corridor East, in other words, increase total pounds coming out of NexGen beyond just Arrow's kind of peak level?
Leigh Curyer: Yes, it's absolutely possible, subject to the regulatory process.
Graham Yoshio Tanaka: Right. Okay. And given what you've seen so far by people like Denison and others that are trying to bring on mines that have been partly developed and other parts of the world actually where there's exploration going on in Australia, et cetera, do you -- what -- do you have a very rough approximation of how many millions of pounds could be brought on at what price levels in, say, the 2030 and beyond time frame, at what price levels?
Leigh Curyer: Yes, we have a very clear understanding of that at NexGen, of every project around the world, its stated production capacity and their cost of production and their economics. It's -- the example of early -- a lot of these projects were in existence during the early 2000s when the price of uranium went to USD 136 a pound. A lot of these projects still did not get into production or even turn the first sort of soil in order to construct. That USD 136 a pound back then is the equivalent of about USD 210 a pound today. The aspect is like this investment thesis is incredible. And I think we're already seeing some of the projects that have -- are trying to get up and running are not producing as much as they would like. There's 1 or 2 exceptions, of course, down in Australia, but not producing as much as they would like and at a far higher cost. And so, I think that outlook for uranium price is incredibly bullish going forward. Even in the best case scenario, as I said, the world needs 2 to 3 Arrows up and running by 2030 to fulfill the gap. It's not going to happen. Even the barriers to entry are so significant for any material production to come online. And well done to the uranium developers out there. And I'll pump up our own tires for a bit. But NexGen, getting incorporated in 2011, doing the work over the last 1.5 decades and along with the Denisons and the Bosses and the Energy Fuels and the UECs to get these projects up and running. Iso doing a magnificent job acquiring projects in the U.S., but probably at the front of the queue in terms of getting them into production as well, subject to price. There's a lot of people doing a lot of work in the background and -- but the challenges are significant.
Graham Yoshio Tanaka: Great. And not a lot of incremental pounds. So not to give you a hard time, but if the world will not be able to provide 2 or 3 more Arrows, implying, what, 60 million to 90 million pounds a year shortfall, why contract any uranium at current prices at the current time?
Leigh Curyer: Yes. We're not contracting at current prices, Graham. We're contracting at future prices at the time of delivering the pounds. So you're dead -- you're bang on, on a key point there. We are not contracting at current prices. We are contracting at future prices at the time of delivery. And that's a real differentiator between NexGen and, I would say, also the other emerging producers comparative to the current producers.
Graham Yoshio Tanaka: Great. Well, congratulations on your progress so far, and good luck on your timing.
Operator: [Operator Instructions] There are no further questions at this time. I'd like to turn the call over to Leigh Curyer for closing remarks. Sir, please go ahead.
Leigh Curyer: Thanks, Constantine, and thank you, everyone, for dialing in today. And we -- yes, NexGen is ready. And this market has never been shaping up better, and we are ready to execute on this project and look forward to doing so, whilst running our exploration program, PCE, in parallel. Incredibly exciting time at NexGen. And I thank everyone for their support and buy into this incredible company. Thank you.
Operator: This concludes today's conference call. Thank you very much for your participation. You may now disconnect.